Operator: Good day and welcome to the Hospitality Properties Trust Fourth Quarter 2017 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you. Good morning. On today's call, John Murray, President and Mark Kleifges, Chief Financial Officer will make a short presentation, which will be followed by a question-and-answer session. Please note that the recording, retransmission and transcription of today's conference call is prohibited without the prior written consent of HPT. I would like to point out that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on HPT's present beliefs and expectations as of today, March 1, 2018. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than through filings with the Securities and Exchange Commission or SEC. In addition, this call may contain non-GAAP financial measures, including normalized funds from operations or normalized FFO. A reconciliation of normalized FFO and adjusted EBITDA to net income as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-K to be filed later today with the SEC and in our supplemental operating and financial data found on our website at www.hptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. And with that, I will turn the call over to John Murray.
John Murray: Thank you, Katie and good morning. Before we talk about fourth quarter results for HPT Mark and I wanted to express our extreme sadness of the sudden and unexpected passing of Barry Portnoy, the Founder and Chairman of RMR Group and one of our Managing Trustees. As many of our colleagues have said on other calls this week, this is a tragic loss for his family and for RMR and its employees who manage companies. Our serious condolences go out to Barry's family and friends. Barry's vision, dedication, work ethic and high standards have long been an inspiration to us and he will be greatly missed. He was the architect of the contract structure which sets HPT apart from other lodging REITs and which remains the foundation of how we run HPT today. We remain on sound footing from a leadership perspective as Adam Portnoy has been President and CEO of the RMR Group running its day-to-day operations for a number of years and will continue to guide us as we manage HPT under the same high standards that Barry set for us. Turning to quarterly results, earlier this morning, we reported fourth quarter normalized FFO of $0.54 per share a decrease of 5.3% compared to the $0.57 reported in the fourth quarter of 2016 due primarily to incentive business management fees which increased by $22.2 million or $0.13 per share in 2017 versus 2016. Excluding incentive business management fees from both periods normalized FFO for the 2017 fourth quarter would have been a $162.4 million or $0.99 per share an increase of 11.4% from the same period last year. Starting with performance at HPT's travel centers, fuel margin decreased by $4.6 million or 5.6% in the fourth quarter, reflecting lower fuel volumes sold and lower cents per gallon diesel fuel gross margins compared to 2016. The per gallon fuel margins were negatively affected by a federal biodiesel tax credit available in 2016 but not in 2017. This credit was retroactively reinstated in early 2018. Non-fuel gross margin increased $4.8 million or 2.3% and site-level operating expenses were flat compared to 2016. Mark will provide more details on these changes in a moment. Property level rent coverage for the quarter was a strong 1.46 times despite HPT's rent increasing 4.2% compared to 2016 due to our increased investments. Turning to performance of HPT's hotels, fourth quarter 2017 comparable RevPAR increased by 4% versus the 2016 quarter and comparable GOP margins increased by 156 basis points versus the 2016 quarter to 39.7%, reflecting higher room in food and beverage revenues and a strong 77.5% flow through to GOP. Aggregate coverage of our annual minimum returns and rents at all our hotels was 0.91 times this quarter, up from 0.88 times in 2016. There were several factors that positively impacted fourth quarter results, including strong demand associated with Hurricane Relief efforts, market strength from lease demand shifts away from the Caribbean and increased group bookings. We estimate the Hurricane related demand increased portfolio RevPAR by 1.7% in the fourth quarter. However portfolio headwinds, primarily from room supply growth and renovations continue to have an offsetting impact. Our comparable Sonesta portfolio reported strong revenue growth this quarter with RevPAR increasing by 10.4% led by occupancy increases of 6.2 percentage points and rate growth of 0.2%. Our comparable Sonesta ES portfolio grew RevPAR 9.2% driven by continued ramp up from the extended stay hotels that were renovated in 2016. Comparable full service hotels increased RevPAR 10.4% due to the post Hurricane recovery business at our Royal Sonesta Houston and strong group business at our Hilton Head and Cambridge hotels. For the comparable Sonesta portfolio GOP margin percentage improved 7.1 percentage points and cash flow available to payout minimum return increased 95.1% resulting the comparable hotel coverage of 0.77 times as recently renovated hotels continue to ramp up against the better recognized competition. IHG's comparable hotel RevPAR increased 5.4% driven by a 4.1% increase in rate and a 1 percentage point increase in occupancy. Our comparable full service hotels reported strong results driven by our Crown Plaza Holiday Intercontinental brands which benefited from factors including strong group business, Hurricane relief business and a competitive set hotel closure due to renovation. For the comparable IHG portfolio, GOP margin percentage improved 1.1% and cash available to pay on minimum return increased 12.8%. Our Wyndham portfolio's RevPAR grew 4.8% in the fourth quarter led by a 2.7% increase in rate and a 1.3% point increase in occupancy. This portfolio's improvement reflects strong performance of the recently renovated Hamilton Park Hotel in New Jersey. Additionally, our Wyndham Houston benefited from increased demand related to relief work following Hurricane Harvey. Wyndham's cash flow available to pay on minimum returns increased 10.5%. As previously disclosed Wyndham's guarantee was depleted during the first quarter of 2017. During the year ended 2017 all announce due to HPT under our agreements of Wyndham hotel. Under our available Wyndham hotel guarantees depleted in cash available to payout return is insufficient to pay contractually due amounts to by default [ph] Wyndham must pay the greater available cash flow or 85% of the contractual amount due. During January and February of 2018, Wyndham paid HPT 85% of the minimum returns due under the management agreement or $689,000 less than the contractual amounts due. Our Marriott No. 1 Courtyard portfolio has the weakest revenue performance this quarter with RevPAR decreasing by 0.4%. GOP margin percentage increased 2 basis points. Fourth quarter performance was negatively influenced by increased renovation activity with 12 hotels under renovation in the fourth quarter. Excluding the 12 hotels under renovation during the quarter RevPAR would have increased 3.3%. Efforts to improve revenue management for this portfolio are gradually enhancing this portfolio's performance. With coverage of 1.25 times for the last 12 months Marriott No. 1 is most profitable hotel portfolio. Our Hyatt portfolio RevPAR increased only 0.8% this quarter attributable to renovation displacement at six hotels during the quarter. Excluding the six renovation hotels RevPAR would have increased 3.1%. We did not acquire or dispose of any assets during the fourth quarter. As previously noted in 2018 we expect to be more focused on renovations and on acquisitions. 18 of the 20 hotels acquired in 2017 require significant renovations in addition to cyclical renovations of 53 comparable hotels in the portfolio. We expect to fund the majority of renovation capital spending from free cash flow. Looking ahead, industry experts are forecasting 2018 RevPAR growth from 2.5% to 2.7% range. Our managers' projections for 2018 are premise on steady business demand resulting from improving GDP growth and lower tax rate. At the same time, new supply continues to deal with the market. In addition in 2018 we will have 71 hotels under renovation during some part or all of the year compared to 41 hotels that were under renovation in 2017. Also, there is uncertainty about how long Hurricane recovery efforts will continue to positively impact HPT hotels in Florida, Texas and Puerto Rico. As a result while the managers are cautiously optimistic, they are currently forecasting comparable RevPAR growth for 2018 of approximately 1% to 2% with GOP margin percentage in the flat to down 50 basis points range, largely due to increased wages and benefits cause. I will now turn the call over to Mark.
Mark Kleifges: Thanks, John. Starting with the performance of our travel center investments, property level EBITDAR in the 2017 fourth quarter was marginally higher than the 2016 quarter, despite the continued decline in fuel sales volume and the absence of the federal biodiesel tax credit program. For the quarter, fuel gross margin for our travel centers decreased $4.6 million or 5.6% versus the prior year quarter. As a result of the 1.7% decline in the fuel sales volume and a 4% decrease in cents per gallon margin. The fuel volume decline in the fourth quarter resulted primarily from the continued truck fuel efficiency gains and increased competition. The decline versus the prior year in per gallon fuel margin was due primarily to the absence of the federal biodiesel tax credit program in 2017 and increasing fuel cost trends in the quarter. Fuel gross margin was still a solid $0.18 per gallon in the 2017 fourth quarter. The biodiesel tax credit was retroactively reinstated for 2017 in legislation passed in February 2018. As a result, TA expects to receive a retroactive credit of approximately $23 million and a significant portion of this recovery will be reflected in the 2018 operating results of our travel centers. Non-fuel travel center revenues increased 1.9% versus the prior year due primarily to growth in truck service and convenient store sales. Our travel centers grew non-fuel margin $4.8 million or 2.3% versus the prior year quarter to $215.6 million and non-fuel sales generated approximately 74% of the total gross margin dollars of our travel centers in the quarter. Site level operating expenses were essentially flat versus the prior year due to certain cost control initiatives TA implemented during 2017. As a result of these changes, fourth quarter property level EBITDAR of our travel centers increased by approximately $174,000 or 0.2% compared to the fourth quarter of 2016. Annual minimum rents under our travel center leases remained well covered at 1.46 times for the fourth quarter and 1.5 times for the year. Turning to our hotel investments, operating results were strong at our 302 comparable hotels this quarter with RevPAR of 4%, the 156 basis point increase in GOP margin percentage and an increase in cash flow available to pay HPT's minimum returns in rents of 13.7%. The 4% increase in RevPAR this quarter resulted from 2.4% increase in ADR, and a 1.1 percentage point increase in occupancy. Excluding hotels under renovation during the quarter, comparable hotel RevPAR growth was 5%. The portfolios with the highest RevPAR growth this quarter were our comparable Sonesta, and IHG portfolios with increases of 10.4% and 5.4% respectively versus the prior year quarter. Our Marriott No. 1 and Hyatt portfolios have the weakest RevPAR performance with the decline of 0.4% and an increase of 0.8% respectively versus the prior year quarter. Both portfolios were negatively impacted this quarter by renovations. GOP margin percentage for our comparable hotels increased 156 basis points from 2016 quarter to 39.7%. And gross operating profit increased approximately $13.5 million or 1.6% from the 2016 fourth quarter Of our portfolios, the comparable Sonesta and Carlson portfolios have the largest increases in GOP margin percentage in the quarter, up 714 and 157 basis points respectively. While our Hyatt and Marriott No. 1 portfolios have the weakest margin performance in the quarter with GOP margin percentage down 151 basis points and up 2 basis points respectively versus the 2016 quarter. The $13.5 million increase in gross operating profit combined with the 2.3% decline below the GOP line deductions for our comparable hotels resulted in $14.8 million or 13.7% increase from the 2016 quarter and cash flow available to pay our minimum returns and rents. Two portfolios with the largest percentage of increases in cash flow were our comparable Sonesta and IHG portfolios with the increases of 95.1% and 12.8% respectively. The two portfolios with the largest percentage declines in cash flow were our Hyatt and Marriott No. 1 portfolios with decreases of 7.3% and 1.2% respectively. Cash flow coverage of our minimum rents and returns increased for six of our nine hotel agreements versus the prior year quarter and portfolio wide coverage improved to 0.91 times for this quarter but declines of 1.06 times for the last 12 months. With coverage for the 2017 year above one times for several of our portfolios, security deposit and guarantee balances were replenished at total of $23.3 million during the year. At year-end the guarantee under our Wyndham agreement remain depleted. And as John mentioned, we were paid only 85% of our minimum returns in January and February 2018. Should Wyndham pay 85% of minimum return for all the 2018, this will result in only a $4.1 million or less than 1.5% decline in our expected total minimum return in rent payments in 2018. Turning to HPT's consolidated financial results. Normalized FFO was $87.9 million in the 2017 fourth quarter, compared to normalized FFO of $93.4 million in the 2016 fourth quarter. We recognized $74.6 million or $0.45 per share of business management incentive fee expense in the 2017 quarter, and $52.4 million or $0.34 per share in the 2016 quarter. Excluding the impact of incentive management fee expense in both quarters, normalized FFO per share was $0.99 for the 2017 fourth quarter, and 11.4% increase from the 2016 quarter. This increase was due primarily to the $18.5 million or 10.1% increase in minimum returns in rents, and the $5.2 million decrease in preferred distributions partially offset by $8.9 million increase in interest expense, primarily due to our 2017 senior note issuances and higher interest rates on our floating rate debt. Adjusted EBITDA was $135.3 million in the 2017 fourth quarter or 1.2% decrease from the 2016 quarter as a result of the increase in business management fee expense. Excluding the impact of these fees, our adjusted EBITDA to total fixed charges coverage ratio was 4.5 times for quarter and debt to adjusted EBITDA was 4.8 times at quarter end. Turning to our capital improvement fundings and commitments, we funded $20.6 million of hotel improvements and $21.7 million of travel center improvements in the fourth quarter. In 2018, we expect to fund approximately $180 million of hotel improvements and $52 million of travel center improvements. The majority of these improvements are expected to be funded from operating cash flow. We plan to have 22 comparable hotels under renovation for all or part of the 2018 first quarter. Turning to our balance sheet and capital market activities; as of quarter end that was 40.3% of total gross assets and we had $24.1 million of cash on hand which excludes $73.4 million of cash escrowed future improvements to our hotels. In October, HPT issued $400 million of 3.95% senior notes due in 2028. The net proceeds from this offering were approximately $388.2 million. Also in October, HPT redeemed to par all of its $350 million or 6.7% senior notes due 2018. In February HPT issued $400 million of 4.375% senior notes due in 2030. The net proceeds from this offering were approximately $386.5 million and were used to reduce borrowings under our revolving credit facility. As of today we have $121 million outstanding on our revolving credit facility and no term debt maturities until April 2019. Operator that concludes our prepared remarks, we are ready to open the call up for questions.
Operator: Thank you. [Operator Instruction] Our first question comes from Michael Bellisario of Baird. Please go ahead.
Michael Bellisario: Good morning everyone.
John Murray: Good morning.
Michael Bellisario: Can you talk about the Courtyard portfolio? I think last year Marriott was pretty aggressive with their corporate negotiated rates and you noticed some weakness throughout year. What did you see most recently from them and what's the outlook for that portfolio for 2018 and did they maybe take a different approach this year?
John Murray: Yeah. I think there were too aggressive last year. They have got - frankly I think maybe they also took their eye off the ball a little bit with the Starwood merger taking place. But I think that they were a little bit more hopefully a little bit more in line with the market in our fee process for this year. I think they are also working on initiatives to try to keep cost down. They've lowered some of the guest reward program [indiscernible]. They've kept reservation cost flat. And they are to take other steps across the board to try to keep expenses down while continuing to take steps to reduce the amount of OTA business to reduce the commissions that they pay on OTA business. And so we're hopeful that the combination of less OTA business and a better approach to the RFPCs will help them do better this year than they did last. Do you want to - I think Mark has something to add.
Mark Kleifges: Yeah. The only thing I'd point out is that there are going to be 33 of those hotels under renovation during 2018. So I think core operations of the portfolio will improve year-over-year as a result of that renovation activity I wouldn't expect significant changes in cash flow generate upon that portfolio on a year-over-year basis.
Michael Bellisario: Got it and then where do you guys stand on the Marriott 5 potential negotiations? Is there any update to share there?
John Murray: There's really nothing new. We've after the Atlas Conference in January I went and visited the hotel and met with Marry and [indiscernible] and the vacation guys and we're having some discussions, but it's early in the discussions so there's nothing really to report.
Michael Bellisario: Got it. And then last one from me maybe how do you think about the Wyndham relationship and what might change there in terms of the split about the company and maybe their willingness to fund anything above the 85%?
John Murray: We are hopeful that with the Hamilton Park renovation behind and hopefully with solid sales team in place in Chicago those two hotels make up roughly half of the portfolio cash flow. We're hopeful that cash flow for the portfolio improves this year. We don't think that they're intending to default. We just think that they resonate driven as we have been realized particularly in these weaker months of the first quarter that they have the ability to pay where cash flow is well below as priority the ability to pay just 85% and so the reduce level of payment if you will. But we expect that that portfolio is going to perform reasonably well. And we're hopeful at least that with the two full service hotels that make up the lion's share of portfolio will pick up the pace. We have a good relationship with Wyndham. They've got a lot on their plate right now with the spinoff and with the La Quinta acquisition. And I think that they'll be a little bit more focused on our portfolio and possible ways to improve its performance, but it may take until later in the year because of the other stuff that they've got on their plate right now.
Michael Bellisario: Got it and is there any catch up in the stronger months on that Wyndham portfolio to backfill the January-February short fall?
John Murray: Yeah. The way the waterfall works on all of our portfolios, it's looked accumulatively on a month-to-month basis as you go. So there may be catch up in the second and third quarters but then there will probably be some slippage in the fourth depending on how the hotels perform.
Michael Bellisario: Got it. That's all from me. Thank you.
Operator: [Operator Instructions] Our next question comes from Bryan Maher of B. Riley FBR. Please go ahead.
Bryan Maher: Good morning John and Mark.
Mark Kleifges: Good morning.
Bryan Maher: You guys, as you said in your prepared comments didn't really have much in the way of transaction activity in 4Q and you have kind of a lot on your plate with some renovations. But how should we think about 2018 from an acquisitions standpoint, is there a target, is it just mainly going to be opportunistic, when do you think it skews more towards full service or select service?
John Murray: We don't have a target Brian. We're going to invest between TA and in hotels easily $200 million in renovations and they are going to be spread out across the year. So we are not actively pursuing acquisitions currently. And we are keeping an eye on what's out there. But I don't really have particular guidance for it, I would say it would be close to the zero then it would be the $200 million.
Bryan Maher: Okay. And then on the labor costs side. What type of - well first of all what are you seeing there? And then secondarily what type of influence do you have with your operators to keep that under control?
John Murray: Well, the unemployment levels are very low there. So that puts upward pressure on pay rates, because you try to attract good employees. There are number of cities where there are efforts underway to increase minimum wages and so that puts more pressure on wages. So we are seeing really across the country a push towards wage increases and benefits cost, just seems to always go up. And wages and benefits make up half the P&L. So our asset managers are regularly challenging our operators about more efficient ways to run the hotels, better staffing models, whether they can get use initiatives that are environmentally friendly to cause less rooms that need to be cleaned or whether they can get housekeeping boys to clean more rooms, do lighter touches or to use technology for check-ins, so that there is less need for front desk staff; is a bunch of initiatives and we are confidently pushing our operators. But at the end of the day you know we are not operating the hotels, we are a passive owner. And if they don't want to be more efficient, it's in their interest, but this is only so much we can do.
Bryan Maher: Thanks John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Murray for any closing remarks.
John Murray: Thank you very much for joining us on the call today. Have a good moment.